Operator: Greetings, and welcome to the National Energy Services Reunited Corp. Third Quarter 2025 Financial Results Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone requires operator assistance during the conference, as a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Blake Gendron. You may begin.
Blake Gendron: Thank you, Kate. Hello, and welcome to National Energy Services Reunited Corp.'s Third Quarter 2025 Earnings Call. With me today are Sherif Foda, Chairman and Chief Executive Officer of National Energy Services Reunited Corp., and Stefan Angeli, Chief Financial Officer. On today's call, we will comment on our third quarter results and overall performance. After our prepared remarks, we will open up the call to questions. Before we begin, I'd like to remind our participants that some of the statements we'll be making today are forward-looking. These matters involve risks and uncertainties that could cause our results to differ materially from those projected in these statements. I therefore refer you to our latest earnings release filed earlier today and other SEC filings. Our comments today may also include non-GAAP financial measures. Additional details on reconciliations to the most directly comparable GAAP financial measures can be found in our press release, which is on our website. Finally, feel free to contact us after the call with any additional questions you may have. Our investor relations contact information is available on our website. Now I'll hand the call over to Sherif.
Sherif Foda: Thanks, Blake. Ladies and gentlemen, good morning, thank you for participating in this conference call. Today's call comes at a pivotal moment in the history of our firm. As our crews mobilized to deliver one of the largest projects in sector history, and company growth hits a new gear. Despite the transition of key contracts in the third quarter, I'm proud of the National Energy Services Reunited Corp. team for strong execution and cost control, with an unwavering focus on safety. As recently announced, National Energy Services Reunited Corp. has secured the winning position for the massive frac tender in Jafurah. This multiyear, multibillion-dollar award is a cornerstone achievement for the company, upon which we will continue to build beyond our revenue target we set ourselves. At the same time, we are also seeing a path activity inflection beyond Jafurah, with continued growth in Kuwait, return of additional rigs in Saudi, and increased activities in the majority of our countries. Our countercyclical investment strategy is allowing National Energy Services Reunited Corp. to capitalize on global weakness and boosting the company into a position of strength and operational readiness. While others are cutting, we are playing offense. I will dig into both Jafurah and our broader strategy later in the call. But first, I want to take a slightly different angle and discuss two, what I call mega themes, that have emerged from the recent FII event in Riyadh, followed by ADIPEC in Abu Dhabi. FII or Future Investment Initiative, known as Davos of the Desert, is one of the largest macro conference and leadership gatherings in the world. And ADIPEC is the largest oil and gas conference globally. Our participation was both timely with the Jafurah award and also crucial with the GCC at the epicenter of these two mega themes. From these events, the message was clear and crisp. Theme one, energy demand and GCC leadership in the AI revolution. Traditional energy is here to stay, and demand growth will be supercharged by the huge power demand of AI, data centers, and cybersecurity. The AI-powered demand commentary was nothing new, but the signals from both Saudi and UAE during this event suggest that the Middle East AI race is on, and significant investment is coming. Both countries presented a vision of becoming number three globally for AI after the US and China. What this means is that the region has moved beyond the concept of energy transition and is now focused on energy addition, in all forms, including more oil, more renewables, in particular, natural gas and solar. For National Energy Services Reunited Corp., this means that its established leadership in unconventional aligns completely with the upcoming AI race in the region. In fact, our largest customer formerly increased its sales gas growth target from 60% to 80% by 2030. This gas capacity for internal consumption will be critical to support AI ambition in the country, a strategy that is being discussed across MENA. Theme two, the Gulf Region geopolitically. The relationship between the US and Gulf States is clearly very strong. This has positive implications for both energy markets as OPEC expands production with an eye on materially higher demand by the 2030 time horizon. And, also, foreign investment as multiple IOCs make moves across the MENA region. Knowledge is power, and now power is knowledge. Cross-border cooperation on AI is at an all-time high between the US and the Gulf, with bilateral investment deals already announced. As the national champion of the Middle East, but also US NASDAQ-listed, National Energy Services Reunited Corp. is a company made for the current political moment. We have a role to play in the bridge-building between the US energy sector and the MENA national oil companies. We can point to Jafurah as a case study of how we can help US expertise navigate the region, leveraging technology and efficiency while empowering local content and human capital. We've talked about how this benefits our NOC partners, but it's worth noting that this also helps our IOC partners feel right at home in MENA. Which is a good segue to discuss our newfound position as the largest frac company in the Middle East. The Jafurah tender represents the single largest single service contract in sector history. And as the outright winner of the committed scope, our National Energy Services Reunited Corp. team has clearly earned its reputation for pushing the envelope on efficiency. It is a remarkable achievement, and we thank our dearest customer for the trust. Having started from zero in frac just five years ago, Jafurah is now as efficient as any leading Permian operation. A world-class case of science and data-driven shale development, orchestrated by Aramco. In the early days of National Energy Services Reunited Corp.'s involvement, this included our open technology platform approach. More recently, this has involved huge investment in infrastructure, logistics, best-in-class supply chain, across sand, water, chemicals, maintenance, and other dimensions across multiple product lines within this integrated frac project. We've driven substantial cost out of the system, initially on integration, efficiency gains, and agnostically, the use of leading technology from around the world. We challenged the status quo and brought fit-for-purpose and sometimes made-in-the-kingdom technology to have the best locally made, that includes site preparation, local sand, chemicals, coiled tubing, perforation, well testing, flowback. Now we are on a path to fully embed AI into our operation, predicting failures, and ensuring flawless delivery and another level of efficiency, breaking world records. But cracking the code on unconventional does not stop at sounding. The service delivery model that we've developed alongside our partners at Aramco is a blueprint that we can take across the MENA region to unlock additional unconventional development, particularly for natural gas. There are huge ambitions and potential in several countries that we operate in, and all of our top customers are coming to National Energy Services Reunited Corp. to fully understand how we can unlock their resources. Which brings me back to our broader growth strategy because National Energy Services Reunited Corp.'s success in Jafurah and across the region would not be possible without our aggressive countercyclical investment playbook. For decades, the oil service industry has matched investment, hiring, and R&D with the activity cycle. But now that the global cycles have accelerated and shortened, the traditional waiting-out-the-storm strategy no longer works. By the time the cycle turns, many companies are left behind. Which is why we've taken a different approach: invest during the downturn. It's been easier said than done, but as the only public MENA pure play, we benefit from the relative stability of activity in the region and agility of decision-making. Rig activity is largely decoupled from commodity price on oil because of focus on capacity building, and in gas, because of domestic needs. If any company is well-positioned to break from the pack and establish a countercyclical investment market position, it's National Energy Services Reunited Corp. And our customers value our bold approach, particularly since our NOC partners themselves are taking a longer-term view of oil fundamentals. As a company, National Energy Services Reunited Corp. is small enough to be agile, but large enough to scale. That is our window. While downturns expose weakness in our industry, they also reveal who's actually planning for the future. Our operational readiness is unmatched among our peers.
Blake Gendron: And it's only possible because we are growing and investing
Sherif Foda: while others are shrinking. To be honest, it's no walk in the park trying to convince some shareholders and board members of the strategy. Public companies in our sector often suffer from short-term pressure. Everyone wants results, cash, dividends, and they want them now. It is understandable, particularly in the lower oil price environment, and with tight risk mandates in public markets. We spent the last seven years since the founding of the company trying to convince the market that MENA upstream fundamentals are inherently derisked. And our financial results over the past few years have borne this out. Even in the current lower oil environment, the National Energy Services Reunited Corp. outlook only continues to improve. To be sure, we aren't growing for growth's sake. Our countercyclical investment strategy speaks to the fact that there is ample return accretive expansion still out there for National Energy Services Reunited Corp. This strategy perhaps isn't available for others with a more established and mature market position. And with that, I'll pass the call to Stefan to discuss the financials in detail.
Stefan Angeli: Thank you, Sherif. Good morning to our audience joining from the United States, and good afternoon or good evening to those joining us from the Middle East, North Africa, Asia, and Europe. We are delighted to have you with us today. I'm pleased to present an update on our financial results for 2025 and to share perspectives on our outlook for the fourth quarter and the full year. In the three months since we last spoke, global macroeconomic volatility has persisted. Factors such as ongoing trade uncertainty, inflationary pressures, reduced subsidies in developing economies, fully supplied oil markets, and additional OPEC plus supply releases have collectively contributed to range-bound oil prices and lower reactivity in certain countries. As we also heard from our peers, these dynamics have weighed on the third quarter 2025 results across the broader oilfield service sector, making short-term forecasting increasingly challenging. Despite these headwinds, and as Sherif highlighted in his market overview, we continue to invest heavily, looking at our long-term vision with contract awards, and getting ready for the years to come. Now shifting to Q3 2025. Our overall third-quarter revenue was $295.3 million, down 9.8% sequentially and 12.2% year over year. Sequentially, revenue declined primarily due to the transition between the major contract in Saudi Arabia, partially offset by solid growth in Kuwait, Qatar, and Iraq. Year over year, revenue declined due to the transition between the major contract in Saudi Arabia, timing and lumpiness of product sales, and partially offset by steady growth in Kuwait, Oman, Egypt, Algeria, Iraq, and Libya. Adjusted EBITDA for 2025 was $64 million, representing a margin of 21.7%, which was in line with the second quarter 2025 levels despite lower revenues. Margins remained steady on strong cost discipline and improved execution across our portfolio. Adjusted EBITDA includes adjustments for certain charges and credits impacting adjusted EBITDA totaling $6.9 million, primarily relating to a loss on inventory and a fire credit loss provisions, costs tied to the remediation of material weakness, controls, which is expected to decline dramatically going forward. Interest expense for 2025 was $8.1 million, and the tax expense was $3.7 million after normalizing for a net release of uncertain tax positions and unrecognized tax benefits in two geographies totaling $9.2 million. As normalized, this corresponds to an effective tax rate of 29.9% for Q3 2025, and 24.8% year to date. Adjusted EPS for 2025 was 16¢. Adjusted EPS includes adjustments for certain charges and credits impacting adjusted EPS totaling $2.3 million, including the net release of uncertain tax positions and unrecognized tax benefits in two geographies described previously. Turning to cash flow and liquidity, areas that have consistently been among our most positive over the past several years. Third-quarter cash flow from operations and free cash flow came in below expectations, reflecting lower working capital efficiency driven by delayed collections, much of which was received in early Q4 2025. Consistent with our countercyclical approach, we continue to deploy CapEx tied to recent contract wins to enable rapid operational ramp-up. As of September 30, our gross debt totaled $332.9 million, net debt was $263.3 million. Our net debt to adjusted EBITDA ratio stood at 0.93, remaining below our target threshold of one time. On a trailing twelve-month basis, our return on capital employed or ROCE was 10.1%, reflecting the continued execution of our robust growth investment strategy. Looking ahead, we expect full-year 2025 revenues to be broadly in line with full-year 2024 levels. Based on this outlook, one can infer our Q4 2025 revenue expectation, which represents a record performance consistent with the start-up of the recently awarded contracts discussed earlier by Sherif. Both Q4 2025 and full-year 2025 EBITDA margin percentages are expected to be in line with Q3 2025 and year-to-date adjusted EBITDA margin percentages, reflecting continued operational discipline and execution consistency. Implied in our outlook is that we'll exit full-year 2025 at a revenue record run rate, positioning us for continued growth in 2026. We anticipate ending full-year 2026 with a revenue run rate of approximately $2 billion, supported by our expanding contract base and sustained execution momentum. For Q4 2025, we expect interest expense to be approximately $8 million and our normalized full-year 2025 ETR to remain in the mid-20% range consistent with prior guidance. Capital expenditures or CapEx for the full year are anticipated to be in the range of $140 to $150 million, in line with the previous guidance reflecting the positive outcomes of the recent tenders. We expect Q4 2025 cash flow from operations to be very healthy, driven by the seasonally high fourth-quarter collections. As a result, free cash flow for full-year 2025 is projected to be in the range of $70 to $80 million, which we view as robust given the significant CapEx investments made during the year to support our recent contract wins. These investments are expected to position us for a very positive free cash flow trajectory in 2026. Finally, we do not expect to be materially impacted by changes in global tariff policy. Now on to housekeeping topics. As noted last quarter, we have remediated all previously identified material weaknesses, and this update has been formally disclosed to the SEC. We continue to strengthen our internal processes and controls, which have played a vital role in supporting our financial health and operational discipline. The company is currently in the process of refinancing its debt facility and remains on track to complete the refinancing by the end of 2025 or early January 2026. This initiative is expected to further enhance financial flexibility. The remainder of 2025 and 2026, given the continued market volatility, the ongoing debt refinancing, and the capital expenditure commitments tied to new contract awards, including the start-up of the largest frac contract in the world, the company intends to deploy all excess cash flow exclusively towards debt reduction. This approach reinforces our commitment to balance sheet strength and financial discipline during this period of strategic investment and growth. Once these initiatives have stabilized by mid-2026, we will reevaluate our capital allocation program to maximize value for our shareholders. The outlook across the Middle East and North Africa region remains favorable. We expect these markets will lead activity recovery as market fundamentals move towards equilibrium, supported by sustained investment in oil capacity and ongoing gas expansion projects across several of our core geographies. National Energy Services Reunited Corp. remains focused on its core strategic priorities: delivering profitable revenue growth, enhancing execution efficiency, expanding our technology portfolio, maintaining disciplined debt reduction, and improving working capital efficiency, all of which are expected to drive sustainable financial performance going forward. On behalf of management, I'd like to thank our entire workforce for their outstanding efforts in delivering these results and awards, as well as our shareholders and banking consortium for their continued trust and support. The outlook for National Energy Services Reunited Corp. remains highly favorable, supported by consistent execution on our major contract wins, strategic investments, and growing market opportunities. I'll turn the call back to Sherif.
Sherif Foda: Thanks, Stefan. Let me conclude. In short, a confluence of macro and industry trends are aligning to supercharge National Energy Services Reunited Corp. A wave of AI investment and fruitful geopolitical collaboration in the Gulf is fundamentally positive for National Energy Services Reunited Corp. As a key player in the unconventional gas renaissance, National Energy Services Reunited Corp.'s bold decision to invest and have a solid long-term strategy is working. As our unique position as the national champion of MENA and US NASDAQ-listed, we are in the best position more than ever to build on the appetite of the GCC capacity growth while securing long-term contracts. The Jafurah award elevates our profile significantly and puts the future firmly in our hands. And there are more awards to come and will be announced very soon. With oil activity inflection outside of Jafurah, continued growth in Kuwait, and North Africa, and all-time high activities across most of our countries translating into positive region fundamentals that match the equally positive position we have in the region, and we will capitalize on all those tailwinds. I'd like to close by thanking all of our employees and their families. They broke records, delivered flawlessly, and secured several billion dollars of contracts. We still have big ambitions for the future, not only in more contract awards but in innovation, sustainability, and technologies. Our success would not be possible without the steadfast support of our beloved customers, who we know very well and are honored to be their trusted partner. With that, we are ready to take your questions. Kate, please open the floor.
Operator: Thank you. We will now be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. You may press 2 if you'd like to remove your question from the queue. We ask to please limit your questions to one question and one follow-up. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Our first question from the line of David Anderson with Barclays. Please go ahead.
David Anderson: Good morning, Sherif, and obviously, congratulations on the big win in Jafurah. The long run to get here. Great to see you guys rewarded for all the efforts you've done there on the unconventional field. Not surprisingly, those who didn't win the contract, of course, they wanted a price that no one else is willing to go to. Can you please respond to that and just sort of tell us how you're able to price this more competitively than others that you're still able to keep these margins at these great levels? How much of this is being a local player? What else is into this mix? Thank you, Sherif.
Sherif Foda: Dave, thanks for the congratulations, and obviously, I wouldn't comment on others, but I just can tell you very clearly, as we tried to explain in great detail, we've been on this journey now for several years with our dear customer Aramco. And as we've been part of it, and we've been, you know, performing and, I would say, beating all the records in that domain, we understand exactly how the structure works, as we are very locally embedded with all the ecosystem. And as I tried to explain, we knew how to take the cost out of the system. And look at the future of that project being three times at least what it was before. So how you are going to operate in that new paradigm, your cost control, your new supplier and partners, you know, a lot of it is for the people that do not know. This is an integrated project. So, basically, we look at the sites, the water, the sand, the coiled tubing, the plugs, the flowback, the testing, in addition to frac. We knew exactly how to acquire equipment and use the weakness, if you like, of the US to take full advantage of that. We brought everything to the kingdom already. So we invested, as I say, countercyclically because we knew the downturn could play a very big benefit for us. And this will translate into maintaining our margins in this project going forward.
Blake Gendron: So as we try to explain, this is
Sherif Foda: it's gonna be much bigger and significantly bigger. So our target is to maintain the same profitability as we had today and as we had before. And the best thing to say is people have just to watch the results and the margins going forward. And that would be the best answer.
David Anderson: Well, we've seen it so far. So it's great to see you continue on this journey here. So I was wondering, could you provide us a bit of a roadmap on the pace of development at Jafurah? How many crews are you gonna have in this coming fourth quarter? Where do you expect to be at the end of 2026? And just kind of ultimately, how many kind of wells or stages per month are you targeting? Any details around that you could provide, please?
Sherif Foda: Yeah. So, obviously, I mean, I know all the details in great detail, but I will always leave this to my dear customer to say it. But I can tell you we prepared to send all the extra equipment and crews in this quarter. So then we are ready in Q4. So we started the contract November 1. So we didn't have to wait. Obviously, we had the transition, and in the business, and we started executing using our, today, two fleets that are running as we speak from November 1. And our plan is to deliver those stages that Aramco wants us to deliver using the crews and the additional crew that we the equipment that we already bought as well. And it's shipping to the kingdom. They will be there in November. So we would be ready with the additional crew. So our plan after that is in 2026, how to execute the number of stages with the least amount of crews based on the efficiency gain. We get, right, which is very similar to what you have in the US. So we believe that we can make, you know, addition, you know, in north of a thousand stages per month. Every month. And if they want us to increase to all the way to 1,500, we are ready to do it. Right? So that is our plan is to execute with the flexibility up and down as they like, and we have all the crews. We have all the people. Everybody is already there. So as I said, as we planned this extremely well, we did not release people. We did not shut down. So we kept investing. We hired our people. We had very good cost control. And if you do that and you have that flexibility, you will be able to deliver. So, really, Aramco's plan is very aggressive. I think you heard their earning call very clearly. They added the gas to 80%. They are really world-class in terms of planning, so they know exactly what to do. And we work very, very closely with them. We have a full team in their office. So we can be as flexible as they want us to be.
David Anderson: Sherif, if I could squeeze in one last question. You've been you've had at least a crew or you've been working on Jafurah for, I think, as you said, about five years or even more now. But now Jafurah has taken this next step up, your company has taken up the next step of growth. Can you help us provide a little bit of a sense of the incremental EBITDA here? Stefan, I think you said can you just repeat what you said? I think you said $2 billion run rate by 2026. And if that's sort of the number incrementally, I come up with something like a $100 million incremental EBITDA. Something in that neighborhood. Is that low? Is that high? Am I in the range? Just trying to get a sense in kind of 26%. On incremental, that's approximately correct.
Stefan Angeli: Right? For the full year, for the full year of 2026, I would use the same margin as the full year of 2025, right, as a total. Right? Total corporate. But the $100 million you're quoting is approximately correct.
David Anderson: Awesome. Okay. Thank you, gentlemen. Congratulations once again. Thank you, sir.
Operator: Thank you. Our next question comes from the line of Jeff Robertson with Water Tower Research. Please go ahead.
Jeff Robertson: Thank you. Good morning. Sherif and Jafurah, can you talk about the ramp-up in activity over the next couple of years?
Sherif Foda: Yeah. I mean, if you look at, I would say, from the big picture, right, you have a first gas at the end of this year, and you have one BCF in 2027, two BCF in 2030 with the condensate and NGL. Right? Which means then you have all the rigs running in Jafurah, and the other two Telgawar and North Arabia, which is all the unconventional in Saudi. Right? So if you take that up and you think about the ramp-up and the number of stages, anything between, you know, two times to three times what we used to do now. So it's a very significant project. A very significant number of wells, number of stages to be delivered. And as I try to reply again, there is a flexibility in the system. And Saudi will definitely decide if they want to do, let's say, 15,000 stages, 20,000 stages, 25,000 stages per year, and you have the flexibility and ability to go up and down with that based on what that demand and, obviously, based on productivity. And the national agenda. Right? So our role is to ensure that we have that flexibility ready, and ensure as well that we can add crew, release crew, or decrease crew or update as they like. To date, our plan is to have full four crews running all the time in a very, I would say, efficient way to ensure that you can deliver those number of stages that are required with the number of wells. Because now the wells are drilled extremely much faster than before. Obviously, again, they did, as I said, the science-driven approach to deliver those wells much faster than before, but in a very efficient way, very professional way. So now there is an inventory of wells. And most of the unconventional projects for people around the world to know, it's really about do you have the inventory of wells and the pads ready? So then you can plan your frac crews to get ready on those pads. Right? So you preintervene. You prepare those wells, and then you frac them, and then they put them online when they are ready. Right? So this project has, again, I keep saying it's the blueprint because it's very differently made than others. Right? Because it's well planned, very high in advance, was an exploration phase. And then, obviously, these wells were not hooked. Right? So they were fracced, but stopped, but then they're all hooked, and then now they're all in production. Right? So we plan to have at least three to four times what we used to have before. And, again, we are ready for the availability up and down as our client wants us to do.
Jeff Robertson: Sherif, in the context of a blueprint, can you share some perspective on unconventional development over the next couple of years and where in other markets in the Middle East and North Africa and how National Energy Services Reunited Corp. is positioned to take advantage of that? And then if alongside that, is there any color you could share over the contract value of tenders that you all are working on that might have an impact in 2026 or 2027?
Sherif Foda: So let me try to separate. So the unconventional, I mean, again, I'm talking here as well for the wider audience. If you look today on the Middle East, obviously, it's extremely rich in conventional resources. Right? You will never go and develop something that is expensive if you have something very easy to produce. Now because of the success of Saudi unlocking that unconventional play in a very cost-efficient and very professional manner, now people opened up and say, wow. Why can't I do the same in my because, obviously, if you have all these reserves, that means your source rock exists. But is it economical and do you need it? And that's why it's a bit opposite to the US. It's actually because they have a lot of oil but they want a lot of gas again, for what saying for their AI revolution, for internal consumption, etcetera. So now they are looking at all these plays and where are they? So, obviously, you know that Abu Dhabi as well is doing exactly the same, and they started this already. They have a development already on that unconventional play. Very successfully. Two clients already or you have EOG and veterinarians already there doing the same. So you have as well two separate international oil companies looking at unlocking this unconventional in UAE. And then the others are looking at it. So if you look at the basin, Algeria has an amazing unconventional resource. Ahenad Basin. And it's very similar to actually Vaca Muerte in Argentina. You have Libya that has resources. You have Egypt with Abu Rawash and Apollonia. So you have Kuwait now is even looking at it. Qatar as well. So there will be that's why I call it the renaissance. Basically, people will look into all these plays, and see if it's conventional, unconventional, how much does it cost to produce a barrel of gas? How much it's or unit of gas, and how much is to produce oil. If it is economical, they will do it, and then they will develop it. Because, again, the whole narrative changed totally in the world with you need a lot of traditional energy in addition to the others. Which means gives me to the point that you have to look into the unconventional. And I believe you are going to see this more and more in the coming years. Now on your other question was no. That you had another question.
Jeff Robertson: Just can you share any color on the value of contracts that National Energy Services Reunited Corp. is currently working on or working to secure that could impact 2026 and 2027?
Sherif Foda: So look. I mean, we are tendering huge contracts. Obviously, the biggest by far on a scale with Jafurah and this is done. We are bidding a lot of tenders in Kuwait and in other countries. And I would say it's $23 billion additional tenders we are running. So we are going to announce as we know the results of those. And, obviously, that will translate into all the additional revenue we were signing. So if you that's why I keep saying I mean, we I used to always say we're gonna double the growth of MENA. Now this is irrelevant because if MENA is gonna be, you know, 5%, let's say, we are gonna grow at least 30%, right, minimum. So definitely, now our growth profile and our additional is much higher scale than what the market gonna grow.
Blake Gendron: Thank you.
Operator: Our next question comes from the line of Shareef El Megrabi with BTIG. Please go ahead.
Shareef El Megrabi: Hi, Sherif. Thanks for taking my question. I want to ask about the uncommitted work at Jafurah. Just to make it a two-parter, when could Aramco tender for that, I guess, and what are they looking for? And then also, on your side, what's it gonna take from an investment point of view over and beyond what you've already been able to build countercyclically?
Sherif Foda: So okay. Let me clarify. This contract is already done. Right? So the Jafurah, the way it works is there is a tender, and we all participated. They have, what do you call it, winner for the 100% of the committed work, which is us. And then everybody else signed that contract. Right, or a similar contract. And that is what we call uncommitted. So that piece of the pie for Aramco, they decide as they like when to start, who takes it, they want to diversify. Everybody can operate in that. So this is not gonna be this is already done. Finished. And we basically, all the service companies, what they call, they sign these contracts. And, very similar to, by the way, what happened in the last month. So that scope could be big, and people would work. Anyone who was approved in that list and they were qualified and signed the contract can operate and execute that piece of the contract.
Shareef El Megrabi: Got it. That's pretty helpful. Thank you. And
Sherif Foda: what was the other part? Investment needed? So they invest I was ask
Shareef El Megrabi: Go ahead, sir. I was asking about if there's any other rigs or equipment that you need to buy over and beyond what you've already got for this contract.
Sherif Foda: Yeah. I mean, obviously, what we did ourselves is we purchased it's in our CapEx number already that Stefan explained. We purchased all the additional equipment that we need to execute on this contract. That's why we managed to start immediately the contract, November 1. Now as we go along, we will definitely keep adding equipment. Right? Because this for example, let's say, we are ready now with three fleets. Need a fourth fleet. We need additional equipment because this has surface well testing, coiled tubing, perforation, wireline, so be it. So we will definitely keep investing in that. Make sure that we can execute the contract professionally. The key for us and I guess the key for you and the investment community, is we said we are going to maintain our CapEx the same. So if we spend $140 to $150 million in 2025, we're gonna spend exactly the same in 2026 with the 30%, 40% growth revenue, which gives you that stability that we know exactly how much CapEx we need to spend and how much cash flow we're gonna get. Because we are, again, taking full advantage of the weakness of the outside market. Right? So the project, I would say, it's very well designed. From our side, we did a very good job and a very detailed work exactly what we need and what we don't need. We already front-loaded that in 2025 to ensure that we can execute flawlessly and deliver to the client without any hiccups in the future.
Shareef El Megrabi: Great. Thanks again.
Sherif Foda: Thanks.
Operator: Our next question comes from the line of Jeff Robertson with Water Tower Research. Please go ahead.
Jeff Robertson: Thank you. Sherif, can you share any updates on some of the NEDA projects you're working on? Especially with some of the water initiatives in Saudi Arabia?
Sherif Foda: Look. We are doing so much in that, but, obviously, because of the, I would say, the significance, we decided to speak about it in the next one when we know the results as well. So as we said last time, we are on several pilots, on water mineral recovery, lithium. Those projects are in the pilot phase now. They are physically in the country. We are doing the test with our customer in several locations. We will be able to really give you a bit more color based on the results of all those pilots. So we're very excited about it. I am personally love the story because I believe that this can make something so different in the world that nobody did in the entire industry. In the universe, actually, where, basically, you're gonna start to say, I can produce oil and gas and I can produce a lot of other material that is good for the world, for the earth, for the climate, I am cleaning the water economically. I am bringing minerals, and I'm selling it to other industries. And the best would be if I can get lithium at an economical scale to make batteries, you know, and, you know, the narrative of the industry becomes extremely positive. Regardless if the ESG is out of flavor now or in. But I think our commitment is a long-term sustainability of our industry. And as they say, if the world needs all this oil and gas and energy, we have to make sure that we can do this sustainably. So we will be able to give you a bit more color in our next call based on the results of all those pilots.
Jeff Robertson: Thank you.
Operator: As a reminder, if you'd like to ask a question, please press 1 on your telephone keypad. You may press 2 if you'd like to remove your question from the queue. Our next question comes from John Ajae with Ottpam Press. Please go ahead.
John Ajae: Yes. Hi. Curious on a couple of things. Can you give us a sense for the visibility and the confidence that you have in hitting the $2 billion exit run rate for 2026, what you think the growth rate National Energy Services Reunited Corp. looks like, you know, over the year or two that follow that. And the level of visibility and confidence you would have in that growth rate, and maybe what like, an 80% confidence level might be for a 2027 and or 2028 exit run rate? Based on that trajectory.
Sherif Foda: Thanks, John. So if I will tell you on the 2026, level of confidence 99%, I would say. So those contracts are awarded and those contracts are signed. The work started. So I would say the level of confidence we have on the delivery and, you know, barring anything happening in the world, it should be kind of a very, very steady and very, very sure. Now if I look at our growth profile 2027-2028, definitely, it's gonna still growing because this contract, for example, and others are four, five years. We have a backlog of tenders that are very, very solid. So we believe we win our fair market share on that, at least with the growth that we see in Libya in Kuwait, that is more than the average of the 5% growth rate that the region will see definitely, we will have the continuation of that growth rate. It will not be obviously 30, 40% like we're gonna have in 2025, but you'll have a very good at least 10, 15% growth rate following that. Now if we are more successful in the tenders that are coming, which, obviously, that's our plan, and we ensure that we can secure those and deliver on them in a same way flawlessly that we're planning to do the Jafurah, then definitely we can opt for much higher growth rate in 2027 and 2028. In addition to that, we have obviously our technology and kind of out-of-the-box portfolio that the market that we're trying to create. So we have NEDA, which is our decarbonization arm, there is plenty of pilots, plenty of investment, a venture capital style as we have, on water, on emission, and definitely on the lithium story, if this cracks, I keep saying this our target is to have this segment that's $500 million. So now you need to make sure it's economical. So we don't have this in our plan. This is what I call all the add-on if we crack the code. And then you have, obviously, our technology on Ruya, which is the rotary steerable MWD, LWD, again, we need to commercialize it professionally. We are doing all the extensive testing. And we have a plan or our target internally for a much bigger market share. We don't have this again in the numbers. All this is add-on to our growth profile, and this will all translate, I would say, as revenue growth. That is significant would be, to answer your question, 2027, 2028, 2029, 2030. Right? Because now you know that these projects are economical, commercial, bigger in size, and can translate to significant revenue and margins.
John Ajae: Yeah. That sounds great. Curious also, what type of margin do you have high confidence in for the next few years? Just, you know, without the water and you know, just kind of on what your high confidence baked-in growth is from existing contracts, what would you see as the multiyear margin evolution?
Stefan Angeli: I'll take that. For 2026, as I said to David in a few questions before, we see the margin for 2026 being the same as 2025. So it'll be somewhere between 21-22%. Right? Plus or minus 1% on that. It's probably in the high 90% confidence levels. Right? Going forward in 2027 and 2028, right, we will use the same margins for our own internal model, but we'll try as efficiencies come more supply chain, greater revenues, so you have revenue efficiencies, overhead efficiencies, supply chain savings. We'll endeavor to try and get margin improvement. And, over time, we want to try and get back to the 23 to 25% level. Right? That's our goal.
John Ajae: And how is ROYA progressing relative to what we might have thought at the beginning of the year? And what type of growth is embedded in that, you know, that $2 billion exit run rate? And you know, is this an area that could contribute above it? The $2 billion, if it goes really well, or is it kind of baked success there baked into that $2 billion?
Sherif Foda: Yeah. So the our numbers straight is a very limited Roya in 2026. It's going from 2027 onwards, right, as a number, again, as a significant number to that ecosystem. Why? Because ROYA, rotary steerable, LWD, all this, what we call it, we do an extensive testing. To the technology to ensure it is working, and I commercialize it when we are happy. So, actually, it's the push-pull. So the clients are pushing us to do more work, and we are resisting that because we want to make sure it works perfectly. Right? So I would say it will contribute, and you will see it in the numbers in 2027-2028. They will it will be there in 2026, but it's not a significant number and it is included in our $2 billion exit rate.
John Ajae: Great. Thanks a lot.
Sherif Foda: Thank you.
Operator: This now concludes our question and answer session. I would like to turn the floor back over to Mr. Sherif Foda for closing comments.
Sherif Foda: Thank you very much. We don't want to take any more of your time. Appreciate all the support, and we thank again all our shareholders, employees, customers for their trust and looking forward to an amazing 2026. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines and have a wonderful day.